Operator: Welcome to Nexxen International Ltd.'s Third Quarter Earnings Call. At this time, participants are in a listen-only mode, with a question and answer session to follow at the end of the presentation. This call is being recorded, and a replay of today's call will be made available on Nexxen International Ltd.'s Investor Relations website. I will now hand the call over to Billy Eckert, Vice President of Investor Relations, for introductions and the reading of the safe harbor statement. Billy, please go ahead.
Billy Eckert: Thank you, Operator. Good morning, everyone, and welcome to Nexxen International Ltd.'s third quarter earnings call. During today's call, we will discuss our financial and operating results for the three and nine months ended September 30, 2025, as well as our forward-looking guidance. With us on today's call are Ofer Druker, Nexxen International Ltd.'s Chief Executive Officer, and Sagi Niri, the company's Chief Financial Officer. This morning, we issued a press release, which you can access on our IR website at investors.nexxen.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution in reliance on forward-looking statements. These statements include, without limitation, statements and projections regarding our future financial and operating performance, market opportunity, growth prospects, strategy, and financial outlook. These statements also include, without limitation, statements regarding our partnerships and anticipated benefits related to those partnerships, anticipated benefits related to the company's intended growth and platform investments, forward-looking views on macroeconomic and industry conditions, as well as any other statements concerning the expected development, performance, and market share competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business or unexpected changes in macroeconomic or industry conditions. More detailed information about these risk factors and additional risk factors are set forth in our filings with the US Securities and Exchange Commission, including, but not limited to, those risks and uncertainties listed in the section entitled "Risk Factors" in our most recent annual report on Form 20-F. Nexxen International Ltd. does not intend to update or alter its forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company's press release for additional detail, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, CEO of Nexxen International Ltd. Ofer, please go ahead.
Ofer Druker: Thanks, Billy. Nexxen International Ltd. delivered a strong Q3, generating 10% year-over-year programmatic revenue growth or 15% ex-political, driven by omnichannel strength, rising enterprise DSP adoption, and growing data demands. Throughout 2025, we have been leveraging the combined assets we have built and acquired over the years, strengthening and better showcasing the power and interconnectivity of our full stack to drive greater enterprise demand. Q3 results show this effort is paying off. Our SSD benefited from proprietary data assets like Nexxen Discovery, delivering stronger performance and greater market recognition. Our renewed and expanded data partnership also adds a long-term growth engine via exclusive ACR data and CTV media while enabling innovation like the industry's first solution for programmatic smart TV on-screen through the Nexxen DSP and SSS. SSD. This opens a new frontier for advertisers to reach send OEM media via high attention placement never before available programmatically. With an advanced enterprise DSP, proprietary data, and a unique and growing CTV and cross-device media footprint, Nexxen International Ltd. is creating a very impressive value proposition that sets the stage for meaningful long-term growth. We have continued investing in our omnichannel DSP, enhancing automation, performance, and user experience to bring more enterprise partners onto the platform and believe it can now compete directly with and win against top standalone DSPs. What truly depreciated is how it connects across and benefits from our full stack, combining text data, AI, creative, and media to deliver superior performance and efficiency to enterprise customers and independent agencies. Recent upgrades have not only enhanced the DSP itself but also strengthened the data, AI, and media engines that power it. In the DSP, we have improved buying algorithms and automated budget optimization, lowering media costs and increasing return of expense. Meanwhile, Next AI continues to elevate its performance and efficiency. The NextAI DSP assistant is helping users gain and act on powerful real-time insights faster, enhancing results and usability with customer satisfaction scores often above 90% and some reporting efficiency gains of up to 97%. We are also leveraging our data platform to strengthen the value proposition of our enterprise DSP. Nexxen Discovery, our proprietary insights and audience segmentation tool, is now central to agency and brand conversation and integral to pitching and winning new clients. It unifies cross-channel data sources, including exclusive Asia data, enabling advertisers to uncover, build, and activate high-performing audiences at scale while generating critical insights and reporting. We have enhanced discovery in our broader data platform through Next AI by improving our customers' first-party data connects with Nexxen International Ltd. and improving usability for users of all skill levels. This has resulted in greater adoption, expanded reach, more precise targeting, and measurable performance gains. Discovery has become a true competitive advantage that we believe will grow over time. Together, these advancements are driving stronger cross-channel performance across targeting, activation, optimization, media buying, and measurement. End-to-end users are achieving roughly two times higher retail of ad spend and 30% lower costs. Key reasons we are winning more in ad-to-ad USP evaluations. Our DSP's performance, connected to and driven by our full stack, has brought dozens of new enterprise customers on the platform in 2025, creating significant long-term growth potential. As more enterprise customers onboard, we capture greater direct demand, strengthen our end-to-end revenue opportunities, and reduce reliance on third parties, which is critical as major DSPs continue to tighten SPOs within their ecosystem and work directly with publishers. With a stronger DSP, more powerful and connected data solution, and deeper AI integration, we are now focused on capitalizing on strategic partnerships and scaling platform adoption. We believe this will further our end-to-end revenue opportunities, drive increased growth potential, and create greater resilience against evolving industry dynamics. In Q3, we announced our updated partnership with Vida, successfully renewing and expanding it through 2029, extending exclusive global access to the ACL data, and securing third-party ad monetization exclusivity on their North American media. This provides a durable advantage over peers lacking exclusive and unique assets. We believe we struggle to differentiate and drive value in the future. As advertisers need alternatives to walled gardens, Nexxen International Ltd. is well-positioned to fill that gap as an open, independent platform. Our ratio data cements us as a fundamental targeting and measurement data provider, fueling both platforms' spend and licensing opportunities. For example, our ACR audience segments recently became available for targeting in the Yahoo DSP, underscoring growing demand and paving the way for licensing growth in 2026 and beyond. Our media exclusivity also creates leverage to attract new partners and incremental spend through unique opportunities unavailable anywhere else. And as Vida's footprint grows, so does the value of our facilities. The new agreement is already powering breakthrough innovation. We recently launched the industry's first solution for programmatic smart TV on-screen activation that will be available exclusively through the Nexxen DSP. It provides direct access to native smart TV inventory via the Nexxen SSD across iSense CTVs and other CTV OM brands powered by Vida's operating system. This marks a major step forward for the CTV industry, unlocking previously inaccessible scaled OEM media for programmatic activation and creating exclusive eye attention placement that commands premium pricing. Advertiser interest has been strong, and this solution differentiates us as major competitors cannot offer similar capabilities. We believe this will become a powerful intermediate and long-term growth engine for Nexxen International Ltd., one that can accelerate DSP adoption, expand end-to-end spending, and reinforce our leadership in programmatic smart TV innovation. While we are encouraged by our momentum and strategic progress, we are disappointed to lower guidance due to near-term headwinds, including softness in select channels and a shift in our leading DSP customer reinforcing its SPO strategy. That said, our platform's interconnected advanced technology solutions, TV data, and robust omnichannel media footprint give us confidence we can navigate these dynamics and emerge stronger in 2026 and beyond. Our strategy is evolving, not changing, as we are doubling down on our DSP, discovery, and broader data platform to drive enterprise adoption, strengthen end-to-end revenue opportunities, and reduce third-party reliance. In 2026, we are releasing new DSP innovations, expanding infrastructure and capacity, and deepening new AI integration to enhance usability and performance. To insulate against disruptive open Internet trends, like LLM-driven traffic sheets, we are enhancing our CTV capability through innovative product launches like our first-to-market programmatic smart TV home screen activation solution. In addition, we are entering new scales mobile in-app partnerships. Finally, we are aggressively pursuing new sizable strategic commercial partnerships, leveraging our Vida exclusivities and first-to-market programmatic smart TV on-screen activation solution. These assets provide leverage with ecosystem partners, agencies, postcos, and data providers and can ask if you last spent commitments, greater enterprise adoption, and scale licensing opportunities. While Q4 presents near-term charges, our long-term outlook and conviction in our strategy remain strong. The actions underway, combined with continued investment in our enterprise DSP, cross-device capabilities, and data and AI innovation and integration, position us for a stronger 2026 and beyond. We are on a clear path to becoming a strategic and partner of choice for industry leaders, fueled by exclusive TV data, advanced tech, and innovative smart TV solutions unavailable anywhere else. With a solid foundation, expanding partnerships, and critical capabilities unique to Nexxen International Ltd., we are confident in our positioning to drive greater enterprise adoption and outsized long-term growth. With that, I will turn it over to Sagi Niri.
Sagi Niri: Thank you, Ofer. In Q3, we delivered contribution ex-TAC of $92.6 million, a Q3 record reflecting an 8% increase year-over-year or 14% ex-political. Programmatic revenue also reached a Q3 record of $89.6 million, up 10% year-over-year or 15% ex-political. Growth was driven by data product self-service, desktop and mobile, alongside increases across our health, business, and finance verticals. In contrast, contribution ex-TAC from our non-programmatic business line declined roughly $1 million year-over-year. We also observed year-over-year decreases in CTV and display, as well as reduced spending within our government, retail, and education verticals. CTV revenue declined 17% year-over-year in Q3, or 13% ex-political, to $24.5 million. Results were impacted by decreased activity from select third-party deals, partners within our ONP and PMP channels, tariff-related spending reductions from certain customers, and more competitive CTV CPMs. Though these pressures have persisted in Q4, we continue to see significant CTV revenue growth opportunities in 2026 and beyond, particularly following the renewal and expansion of our strategic partnership with Vida. In Q3, desktop revenue increased 67% year-over-year, and mobile revenue rose 3% as our targeting tools continue to help advertisers find audiences across devices, while overall video revenue represented 70% of programmatic revenue. Contribution ex-TAC from PMP declined 4% year-over-year in Q3, and contribution ex-TAC from display decreased 2%. Despite headwinds across some formats and devices, we achieved record Q3 contribution ex-TAC, thanks to the benefits of our diversified omnichannel approach and continued momentum across focus areas we've invested heavily in over the past several years. In Q3, self-service contribution ex-TAC grew 11% year-over-year amid greater enterprise DSP adoption, while contribution ex-TAC from data products increased 164%. We generated adjusted EBITDA of $28 million in Q3, reflecting a 30% adjusted EBITDA margin as a percentage of contribution ex-TAC. We remain confident in our ability to expand margins over time through contribution ex-TAC growth, cost discipline, and anticipated benefits from our AI initiatives. In Q3, we generated $35.8 million in net cash from operating activities, compared to $39.9 million in Q3 2024. As of September 30, we had $116.7 million in cash and cash equivalents, no long-term debt, and $50 million undrawn on our revolving credit facility. Non-IFRS diluted earnings per share were $0.20 in Q3 compared to $0.27 in Q3 2024, on a post-reverse split basis. We repurchased roughly 1.8 million shares in Q3, investing approximately $18.1 million through our now-completed $50 million program and recently launched $20 million program. From March 2022 through 2025, we repurchased roughly 36.6% of outstanding shares, investing approximately $247.4 million. As of October 31, approximately $13.9 million remained under our authorization, and we intend to evaluate implementing a new repurchase program following completion of our current program. We invested $20 million in Vida in Q3, with an additional $15 million planned for Q3 2026, and we are also continuing to explore M&A opportunities focused on accelerating programmatic revenue growth and enhancing our data, CTV, and mobile in-app capabilities. With that, I'll turn to our outlook. Despite meeting our expectations for both Q3 and the first nine months of 2025, we are lowering our full-year 2025 guidance. We now expect contribution ex-TAC in the range of $350 million to $360 million, adjusted EBITDA in the range of $113 million to $117 million, for programmatic revenue to represent roughly 95% of total revenue. Our updated guidance now reflects full-year 2025 contribution ex-TAC growth of approximately 3% at the midpoint or 6% ex-political, and programmatic revenue growth of approximately 6% at the midpoint or 9% ex-political. Our revised guidance reflects several factors impacting Q4 performance. We have experienced lower-than-expected activity from certain third-party DSP partners in our OMP and TMP channels, which has impacted contribution ex-TAC within the Nexxen SSP. That said, demand generated directly through the Nexxen DSP to the Nexxen SSP has remained in line with expectations. The majority of softness within our ONP channels has been attributable to changes in spending behavior from one DSP customer. While the customer remains active on our platform, its activity to this point in Q4 has decreased significantly year-over-year following a sizable increase in spending during Q4 2024, partly driven by the 2024 U.S. Election cycle. We expect contribution impact related to this customer's reduced spending to be isolated to Q4 2025 and to not have a material impact on Nexxen International Ltd.'s performance in full-year 2026. In Q4, we've also observed more competitive CTV CPM as well as reduced spending from certain customers reflecting some macro softness, which we believe has been driven largely by tariffs. Additionally, we've experienced continued weakness in our non-core non-programmatic business lines for which we are actively evaluating all options. As Ofer mentioned, while we are disappointed with our reduced guidance, we are confident in the swift actions we've taken to address near-term headwinds in our long-term strategy and positioning. Our strategic shift towards revenue generators from our omnichannel self-service DSP and data products continues to gain momentum, supported by our unique data and media assets fueling greater enterprise adoption and growing end-to-end opportunities. Over time, we believe this combination will continue to attract new partners and increase spending, create larger growth opportunities, and drive more predictable and resilient contribution ex-TAC. We expect contribution ex-TAC from our Vida partnership to increase in 2026, supported by ACR data licensing revenue, exclusive third-party ad monetization opportunities, and the launch of our programmatic smart TV home screen activation solution. Adoption of Next.ai is strong and growing, and as usage increases, we expect it to be a driver of operational efficiency, adjusted EBITDA growth, and margin expansion over time. We will continue investing in AI, data, and technology to reinforce our platform advantages and depreciation. Through the actions we've taken to address Q4 challenges and continued execution on our long-term strategy, we are confident we will become a stronger, more resilient, leading platform well-aligned with where the industry is heading and better positioned for sustainable long-term growth and margin expansion. As always, thank you to our shareholders, employees, and partners for your support. Operator, we'll now take questions.
Operator: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press 1 again. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset to ensure that your phone is not on mute when asking your question. We do request for today's session that you please limit to one question and one follow-up question. Our first question comes from Matt Swanson from RBC Capital Markets. Please go ahead.
Matt Swanson: Great. Yes. Thank you for taking my question. When thinking about this DSP headwind, Sagi, I think you mentioned that you do not expect it to be a material impact to 2026. Could you just talk a little bit about the steps that you're taking in Q4 to kind of help rectify some of these headwinds? The one thing I know we've seen from some of your SSP peers is leaning heavier into more DSP diversity, especially DSPs that may be set in the mid-market. I'm just curious if that goes into your strategy as well.
Sagi Niri: Hi, Matt, first of all, and thank you for your question. We have a very clear path that we are taking, but we are going, of course, to accelerate according to what we are feeling in the market. The first thing is about CTV media. So a lot not far, like, the last month or so, we announced that we basically launched a new product that enables us to run programmatically TBS on the platform of the OS of the operating system of Vida and others. And this is very meaningful because the amount of media that you have on the CTV is massive. And basically, users are spending about ten to eleven minutes a day on a TV in front of the operating system, and we will have the opportunity to engage with them in a programmatic manner for the first time in the industry. So this is, like, something that we believe that also is resilient for the AI changes in the world and is supporting us. The second thing is, of course, when you mentioned about the DSPs, so what we feel is that we see that our sales team this year and in Q3 and also what we are seeing going forward is reaching their targets, which means that our offering is very compelling, and we are able to satisfy the needs of the clients with our technology and capabilities. And we are going, of course, to continue doing that. Our self-serve solution we are going to enhance what we did until now. We already see very good traction to that. It grew 14% in the first nine months of the year compared to last year. And it grew about compared to last year. Percent in Q3. Which is very nice numbers. And I think that with the push in resources and capabilities, we will be able to achieve even more. So we are going to do that in order to lower the reliance on third-party DSPs in the market. That's the reason that we made this investment a few years ago. We built the capabilities, and we believe that this is a unique capability that we got. And if we enhance it, we'll enjoy that in the future. On top of that, we are also adding one of the key things that we are doing all the time, which is like a differentiator, also, is the way that we are dealing with data. And the discovery tool that we basically acquired from the acquisition of Amobee, and we made it like a standalone platform that is attracting a lot of advertisers and partners. We are going to also add to this platform now mobile data that is coming from partners that we are talking to or already got agreements with. And this will enable us to put it side by side with our strong and exclusive data sets that we have from the agreement that we got with Vida. Which is super important. They share data globally and especially in the US and Canada, which is more related to us because more than 90% of our revenues are coming from the US. The last point that we feel is important to mention is also to add in-app mobile media to the mix because we tried in the middle of the year to understand what basically channels of media will be less affected by AI. We got into the resolution that basically also in-app mobile is less affected by AI, and we are investing in that. We already signed a few agreements around that, and we stopped moving resources into this channel of media. And we believe that everything that I just said, like CTV, the TV ads, native ads in the operating system, in-app mobile media, and data that we are adding, moving resources to the self-serve solutions that we are basically already showing and demonstrating growth year over year. All of that, including the fact that our sales teams are able to reach their targets with our offering, give us optimism and the belief that we can continue next year with full power.
Matt Swanson: That's really helpful. You mentioned AI a couple of times. One of the big points of emphasis at your Investor Day earlier this year was talking about the power of your AI platform once you've got all three pieces, right, working kind of interoperability of being full stack with AI. I know we have a couple of products launched. Can you just talk about how close we are to getting that kind of full stack vision completed?
Sagi Niri: So first of all, we keep, of course, the investment in AI. For us, it's already, like, a part of everything that we are doing. And basically, what we see is that if we are looking at, for example, the discovery tool and we mentioned it also in the script, basically, what we see is that sellers that are using the discovery plus AI, in the past, it took you, like, a few hours to issue a report. You need, like, an expert to do that. And people were like I will not say they were not tempted to use it so much. But now we see that people are using the AI, our discovery tool, and data segments. They are getting in a few minutes, like, a very good speech. It basically doubled the revenues that the seller that is using our tools is generating compared to a seller that is not. So, of course, it's encouraging us, and we keep pushing for this development. The second thing is that we release and we are getting really good feedback. Feedback is from the usage of AI on our in order to buy media, and it's helping buyers not just to buy smartly, but also more efficiently, and we see very good engagement around that. We now, as we mentioned before, are moving to the SSP side. I feel that early next year, we'll have, like, news also around that. Because this is the third element, as we mentioned, and you have a good memory, Matt, because this is the third piece that we are building, which will be around the SSD side. Building these capabilities, improving the way that publishers can interact with our media, with our data, and understand also their needs. And I think that then in the middle of next year, we will add the layer that will help us manage the full platform, meaning connected to all these three elements of the DSP, DMP, and SSD, and enable us to work much more fluently, much more effectively, and generate better results for our clients.
Operator: Our next question comes from Jason Kreyer from Craig Hallum. Please go ahead.
Jason Kreyer: Thank you, guys. So I just wanted to ask about the current trend line in CTV. We've seen a deceleration there over the last few quarters that culminated into a bigger decline in Q3. So just wondering if you could unpack that a little bit. My understanding is that the changes with this DSP partner are less attributed on the CTV side, but maybe you can talk about kind of what that trend line looks like and what's ahead for CTV.
Ofer Druker: Thanks. Of course. Thank you, Jason. I think that our CTV strategy is solid, as I mentioned before. But in Q4, and also earlier this year, we felt softness in some of the categories that are basically usually supported by CTV in order to advertise their product, and it's, of course, affected us. The second thing is basically competition in the market that is very fierce in the last six months between some of the big companies in the market that are basically lowering their prices in order to attract advertisers. So the CPM in general, what we feel again at least is, went down. So people can deliver their results with less budgets, which was, of course, affecting companies like us because if a company used to spend $1 million in order to achieve certain results, maybe today, they can do that with a few dozens of percentage less in order to do that, and it's affecting the revenues of a company like us. And the last point that I feel is also the political element that last year in Q3 and Q4 was meaningful for us. And, of course, it's not existing almost totally this year. So all these things together I think basically affected us in the second half of the year. But when we are looking at 2026 and going forward, I think that what I mentioned before when I spoke to Matt, when I'm looking at that, this TVS, native ads that we are running, and the agreement with Vida, the investment that we did in order to kick in more TVs in the US, will give us more ground because we have also a full exclusivity on that media, which is growing. ISense and Vida is becoming a very big player in the market. Currently, like, number two globally in pushing new TVs to the market according to the last professional reports that we see. And when we are looking at the TV ads, and our ability to turn them in programmatically, I'm getting a lot of interest in the market from other publishers like Vida, which is OEMs, which need this solution in order to simplify the sale process and make it more competitive. And the second thing is, of course, to advertisers that it will be more like a commodity for them to buy this media than today that they need to deliver the campaign to the OEM in order to run it on this platform. And, of course, it's heavier and it's more difficult to run and to maintain. So I feel that the CTV part, we feel that in 2026 onwards, we start seeing the effect of that, and we will be able to return to growth on that piece of media.
Jason Kreyer: Appreciate that, Ofer. Just one follow-up. So recently, one of your competitors announced a win with an advertiser you've worked with in the past. Just wondering if you could talk to that at all and maybe help us understand why that perhaps a more isolated event. Thanks.
Ofer Druker: So, this specific client used to work with us for many, many years. Sometimes people want needs or want to change, which makes sense. We did it in good terms and all good. We are winning other accounts in the market as I just mentioned. Our self-serve grew in the first nine months by 14%. And I think that our offering we have a lot of advantages in our offering that we are even going to enhance now. Which is about data platform that we are connected to our DSP. Including exclusive TV targeting, TV data for targeting and measurements. That is very important. We see now, as we also integrated some of these data elements, but it's giving us a clear advantage in the market around data and TV, whichever is related to TV. And the second thing is the fact that we are an end-to-end solution and we can also generate revenues from them by media that can turn our offering to much more attractive and we are going to use this, of course, in the near future. So I think that overall, you win some, you lose some, you are trying to win more than you lose. And I think that we have a strategy that can support our growth. And we see the growth already in 2025 even that it was not an easy year because some of our clients are already using the platform. Even some of them lower a little bit their spend. But I see that we are winning, 14% in the last nine months growth compared to last year. 11% in Q3, and I'm optimistic that with more resources that we are shifting there, and with the capabilities that I just mentioned, we will see much more growth in 2026 and going forward.
Operator: Our next question comes from Laura Martin from Needham. Please go ahead.
Laura Martin: Yes. My first question is on, could you remind us how much of your total traffic is from a desktop browser? And you mentioned that traffic was you're seeing traffic down. How much was traffic down in Q3 for you? So that's my first question. And then my second question is on the DSP. So your three-quarter numbers were great, which means this DSP loss for the fourth quarter was a surprise, and I get presumably you didn't really have visibility until this quarter started. If you don't have visibility so I don't understand why this DSP spending less money doesn't affect next year at all. But even if that's true, you didn't have visibility for this, how can you have confidence that 2026 is gonna be okay since I don't think you're anticipating this DSP disappearing in April. Those are my two questions. Yeah. This will disappear.
Ofer Druker: No problem, Laura. First of all, this DSP didn't disappear. It's there. It's buying media. We didn't close the DSP. A major one on our platform. They keep buying from us. There is a few issues with the big DSPs right now. Some of them changed the way that they are buying media. And they prefer more media that is basically related to their algorithm and to their SPO processes. And it's affecting the market. The second thing what I mentioned is that we are trying to lower the reliance on third-party DSPs. And we are increasing the resources and pushing forward our plans to enhance our self-serve capabilities, which we see that is growing and is making a very good effect on our revenues because it's not just the taxes that we are winning, but also these clients are shifting some of their budgets to our SSP. So this is a solution that basically helps us to mitigate risk that is coming from third-party DSPs. The second thing is that the fact that we are now adding really important pillars of CTV media. We already started discussions with big DSPs and partners in order to enhance their spend with us. Mainly on CTV because of this unique technology and unique capabilities. And we believe that it will compensate and even generate growth next year. We didn't mention in my conversation drop, but I said is that when we look at the market for the future, sometimes you need to plan ahead, of course. And what we understood the display that we invested in that in 2024, in the '25, we see that it's like a we don't feel it so much in our revenues. We see very, very small drop in revenues of DSP, but we feel that it will it can be a challenge in the future because of AI. And people are surfing some sites and so on and even mobile browsing. So we shifted more attention also to in-app mobile that is basically will grow our revenues and lower our dependency on media that can be affected by AI.
Operator: Our next question comes from Andrew Marok from Raymond James. Please go ahead.
Andrew Marok: Hi, thanks for taking my question. Another theme we've heard across some of your peers has been kind of leaning into performance objectives in kind of what are considered maybe traditional brand formats. I guess, you talk a bit about how you're positioned for that trend and maybe any advantages provided by things like the Nexxen Data Platform? And to the extent that you're able to capitalize on those types of trends, the type of potentially insulating impact it could have on '26? Thank you.
Ofer Druker: Amazing question. Thank you, Andrew. I think that performance is now is the right time to basically push for that, and we are doing it in the last twelve months. Our DSP is built for performance and generating amazing results when it's being compared to other DSPs around measurement of performance. And that's also one of the key things that is helping us to win new accounts because when they run us head to head with another DSP or a couple of DSPs, we are generating most in most cases, better results. So it's helping us, of course. I think that also the combination with CTV, which was until now more challenging. And my background is performance for many, many years. It was the price of the CTV. Because when the price was the average price was a note of $15 to $20, it was very difficult to generate results from performance on CTV. But now when the prices are basically dropping, the volumes are growing, we can see that there is a bigger opportunity to combine basically performance with CTV and we are putting a lot of efforts on that. And we have also additional advantage with that because when we mentioned the PVS, this is basically PVS are getting a lot of attention from the clients because they can be alone on the screen for a certain time, we can basically achieve additional impact by using that. So I think that the near future, which is giving us opportunity because the lower CPM that I mentioned, that also reduced our revenues, will help us to basically enable us to do more things around performance and our DSP is basically built for that. It was we built a lot of algorithms that are helping the buyers to generate better results. And I think that in the past few years, we basically moved it to the level that now is one of the top DSPs that is related to performance in the market.
Andrew Marok: Great. Thank you. And maybe a quick follow-up, if I could. On your non-programmatic business, you called that out as one of the potential headwinds to Q4. Just wondering, to the extent that it provides any benefit to the programmatic business, is it kind of completely in its own little silo, or are there some benefits that the programmatic business can realize from it maybe in terms of data sharing or something like that? That's all. Thank you.
Ofer Druker: Thank you. No. There are totally silos. There is no relationship between this performance element and our core business. Basically, it's business units that we acquired in one of the major acquisitions that we did in the past with RhythmOne. That we basically inherited two business units that were not related to what we are doing today. They are in silos. We are not getting from them any benefit of data, as you mentioned, or around that, and it will not affect us when we will take these steps. And we kept them basically running as long as they were generating value for us. But now, as I mentioned, we as we mentioned, we are basically evaluating what we should do with them because they are not hitting their targets and, of course, cause us a loss of revenues in our forecast, which is meaningful. So not so meaningful, but still meaningful. And but there is no relationship to any of the other business that we are doing, and it will not affect us at all when we will basically take action with them.
Operator: Our next question comes from Matt Condon from Citizens. Please go ahead.
Matt Condon: Thank you so much for taking my questions. My first one is just on you guys announced in the press release a new data licensing partnership with Yahoo DSP. Can you maybe just refresh us on how The Trade Desk partnership is going and then how big Yahoo can be and then maybe overall just how big data licensing can be for you guys?
Ofer Druker: Very good question also. So basically, there are a few elements for us to cooperate with partners around our data. The easiest way for us is basically to create segments and to send them to the DSP that basically wants to utilize them in order to contact targeting. That's what we are doing mostly with The Trade Desk and now with Yahoo. And it's growing. I cannot reveal numbers, but it's growing. And it's showing good signs, and we have a list of new DSPs that are showing interest in order to grow basically with us and embrace this technology and these capabilities. And we need to remember that, basically, the profit or the net revenues of this initiative are 100% because it's coming to utilizing our data that we own. And when we are looking at more advanced solutions, it's basically licensing this data for measurement, integrating raw data into DSPs or other DMPs, this is a very big this is even a bigger opportunity. And we tie it with, basically, the ability to utilize our discovery tool, which is the platform that enables clients to utilize the data but also enrich their data. Meaning, they can upload their first-party data into the platform, enrich it with our TV data, and get, like, unique reach, which changes sometimes their perspective about their audiences. And this is also something that we start selling and generating revenues. And I believe that in the near twenty-four months, we'll see these segments grow in our revenues. The licensing, and the licensing of data in segments, like I mentioned, but also even AVL platform like the discovery plus data that we are licensing to companies in order to utilize them on their platforms and in favor of their activity and their clients.
Matt Condon: That's very helpful. And then maybe just a follow-up. You mentioned also in the press release just the potential to do more M&A transactions with smaller than what you did with Amobee. Just what are the key areas when you look at your business today that you think that you need to round out or different functionalities that you need to add on to? You know, via M&A.
Ofer Druker: Okay. So I think that from a technology perspective, we have everything that we need. We have a very strong DSP, a very advanced and robust DMP, and a very powerful SSP. But I think that there are supposed to be now more opportunities to buy sometimes clients or verticals activity in verticals you are less exposed to or less working in these verticals and can enrich your technology. I think that also from an integration point of view, we are not interested right now to buy another DSP or another SSP or DSP or DMP because we have this platform, but also from an integration process. We did a heavy lifting in the last two or three years that we have we got to the point that we are really happy with the technology stack that we got. So what we are looking more is to buy activities for clients, as I mentioned, or knowledge or client-based or activity-based that we are not familiar with that we can integrate into our platform and generate additional revenues from them.
Operator: Our next question comes from Barton Crockett from Rosenblatt. Please go ahead.
Barton Crockett: Okay, great. Thanks for taking the question. I'd like to try and understand a little bit better the DSP impact being just a one-quarter phenomenon. In your guide. I guess the first thing I just want to understand around that are you saying that that's because whatever revenue you lose in the fourth quarter will come back to you in the first quarter, or is it because you see other revenue sources offsetting whatever the negative impact is that you see this quarter and next quarter being offset by new revenue sources starting by next year.
Sagi Niri: Hey, Barton. Thanks for the question. I think that's what we are trying to say. You know? I think you answered your question by yourself. So it's like first of all, aforementioned a couple of times, like, all the actions we are doing in order to have our usual growth in 2026, you know, the in-app focus, the self-serve focus, the data focus, the Vida deal, focus. Which are our main growth engines going forward. The one DSP that's, like, you know, is part of the gap in Q4. It's something that we expected this DSP to do with us or to spend with us in Q4 because this is what it did last year, which some of it, of course, connected to the political spend. And this series is spending much less. It's not going with us into 2026 because we already acknowledge that this is the new base, and this is its level of spend. And we are not, like, taking into consideration that for some reason, he may spend more in 2026. Yeah. That's what So I think this answers your question. I hope.
Barton Crockett: Okay. And so when you say your normal level of growth mean, you guys think of normal growth being double-digit.
Sagi Niri: Yeah. I think that, yes, the lower double-digit, I think that according to the growth engine in front of us and, of course, we are already working very extensively on the 2026 budget. I think that we can achieve this growth of 10% in programmatic activity.
Operator: Our next question comes from Tyler DeMatteo from BTIG. Please go ahead.
Tyler DeMatteo: Great. Thank you. Appreciate the time. I wanted to start with on the double growth comments right there. When you think about the different product solutions and how you're trying to go to market, I mean, what physically needs to happen with the different business and product solutions to get you back to double-digit growth? Like what's the real needle mover to get you there? And can you just kind of unpack that for us? And then my second question here is I want to talk about the Vida partnership. How much of a contribution I think you kind of quoted this on an ex-TAC basis. How much of a contribution do you actually expect next year? And how is that going to flow through? Thank you.
Ofer Druker: First of all, Tyler. I think that the main thing that will bring us growth next year will be the CTV part because, generally speaking, this is something that we put emphasis on it for a long time. We suffered from weakness in the last quarter and also, the last quarter was not a great one for CTV, as I mentioned. But I think that by integrating this solution, building relationships with a lot of buyers that are interested in this type of media will see a growth in that section from the feedback that we are getting in the market and from even additional publishers that are interested to integrate with big volume of media and so on can be very helpful. The second thing is again, in order to reduce the reliance on third-party DSP, in 2022, we acquired Amobee for that reason. We saw it coming. We knew that basically the big DSPs in the future will have to build their own end-to-end solution in order to increase their margin and so on. That's why we made we look for DSP that can add to us enterprise capabilities and can grow and can help us to grow in dependency. That's why we acquired Amobee, and we invested a lot of money and time in order to build and improve the technology, grow the talent, build the models, integrate them with data, not in silos, but as one piece. And we believe that the growth that we are seeing from the beginning of the year will continue and even emerge more next year. And will support our growth in the future. And the in-app that we are testing now is showing really good results. From the middle of the year, we are testing and running media on in-app, and we see that by utilizing our capabilities in the ecosystem of the programmatic world, we are able to drive meaningful revenue into the in-app. And we feel that also next year with the agreement that we already signed, and we will announce some of them soon. We will see that basically we believe that this sort of media will generate for us growth also in 2026 and going forward. And the last point is about data. It was tough in the beginning to educate the market, and to also to build the models for ourselves. As I mentioned before in the call, selling segments, selling raw data, or selling it as part of the discovery tool, and now we feel that the market is getting to the notion of how to work with us. Because we need to remember this ACR data and TV data is not common in the market. Most of the companies that we are looking at or other OEMs are keeping it in their gaze for obvious reasons, and we are one of the only ones that is basically willing to use it in order to build partnerships and to enhance cooperation between us and other partners. And this is, of course, with the full support of Vida. And we feel that this is unique and getting more and more attention from the market as we indicated the traders, the Yahoo, and other DSPs that are basically looking to work with us. To give you an exact number of net revenues of Vida, I think it's too early to say, but it will be much more meaningful, of course, than today because today it's very, very small.
Operator: Our next question comes from Maria Ripps from Canaccord Genuity. Please go ahead.
Matt Swanson: Hi. This is Matt on for Maria. Thanks for squeezing me in here. We just wanted to ask about the increasing focus on mobile and app. As we think about Nexxen International Ltd. scaling this channel further, how much of that is a function of building supply versus adding specific in-app targeting and measurement capabilities? And then just on supply specifically, based on an earlier response, it doesn't sound like, you know, M&A is in the works here in terms of scaling supply. So just could you just talk to why you feel ostensibly, I don't want to put words in your mouth, that a partnership approach is more appropriate here. Thanks so much.
Ofer Druker: I didn't understand the last question. What you said about the attitude? The attitude is just trying to
Matt Swanson: Yeah. I just just thinking trying to think through the puts and takes in terms of, say, you know, acquiring another SSP to sort of, you know, build out mobile and app supply versus, you know, partnering with other SSPs? Just trying to understand, you know, how you're thinking about those two options.
Ofer Druker: Okay. So I will touch first on the last question because I think that it's easier to, you know, to give a quick answer. But basically, today, with all the SPO laws, if you want to regulations and practices, if you want to utilize your programmatic capabilities and footprint, you cannot basically jump between yourself and another SSP in order to drive media. You need to be connected directly to the in-app, and we are doing it by working with the SDK companies that basically we are connected to them, and then we can basically bring the app into the market and pay them directly. And maintain the SPO rules and get, like, more of a traction by the buyers. Which is you can audit it by pulling this media from another SSP. It will not work anymore. In the current market conditions. I hope that it's understood. If not, I can explain more. The second thing, your first question was about INAP. And acquisition. Basically, you don't need to buy an SSP in order to get connected to more SDK inventory. Basically, what we are doing is we are, as you mentioned, we are signing agreements, cooperation agreements, partnership agreements with SDK companies that allow us to monetize and interact introduce us to their clients in order for us to generate additional revenues from the apps that they own. And this is until now, we found it very successful and promising, and we believe that it could grow even further, of course.
Operator: That concludes the question and answer session. I would like to turn the call back over to Ofer Druker, CEO, for closing remarks.
Ofer Druker: Thank you. I think that, as we mentioned, we deliver a good Q3 numbers, you know, record in many fields, maybe not in CTV, but in revenues. And in growth year over year and so on. But when we are looking at the full year, of course, it's disappointing to reduce guidance. But even after reducing guidance, we need to remember that we are growing year over year around 3% to 6% in general, but six to 9% programmatically. If we are looking at that. And I think that the fact that we are more heavier in the US it's showing that the US lately was more of a challenge to grow the business than other markets. And we are, like, more than 90% in that market. So it affected us maybe a little bit more than others. But again, when we are looking at growth, we didn't shrink. We grew still even with a disappointing Q4. And what we saw until the end of September was a good result. In October, usually, from year to year, we see, like, an increase in demand. Coming from not just one DSP or other DSP, but from the market as a whole. And mostly. And now this year, we didn't see this wave of growth coming into the system. So we basically felt that we need to announce this guidance reduction because we didn't see this wave of growth coming and supporting our growth. It's usually from Q3 to Q4 statistically, is meaningful. So that's the issue, but we believe strongly in our strategy, in our platform, in our technology, in our talent, and we are willing to work hard in order, of course, to improve our performance in 2026 and going forward. So thank you very much, all of you, for your support. Thank you to our employees, our shareholders, stakeholders, and we are obligated to work hard in order, of course, to have a better 2026. Thank you.
Operator: This concludes today's conference call. You may now disconnect.